Operator: At this time, I would like to welcome everyone to the International Flavors & Fragrances Fourth Quarter and Full Year 2011 Earnings Conference Call. [Operator Instructions] I would now like to introduce Michael DeVeau, Investor Relations Manager. You may now begin.
Michael DeVeau: Thank you, operator, and good morning, everyone. With me on the call today are Doug Tough, our Chairman and CEO; Hernan Vaisman, our President of Flavors; Nicolas Mirzayantz, our President of Fragrances; and Kevin Berryman, our Executive Vice President and CFO. This call is being recorded and will be available for playback on our website. Please keep in mind that during this call, we will be making forward-looking statements about the company's performance particularly with respect to the first quarter and full year of 2012. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning factors that can cause actual results to differ materially from forward-looking statements, I ask that you refer to the cautionary statements and risk factors contained in today's 8-K filings with the SEC as well as our 2010 10-K filed on February 24, 2011. Some of today's prepared remarks will discuss non-GAAP financial information, which excludes those items that affect comparability. These items are laid out in our reconciliation to comparable GAAP measures, which are also available on our website. With that, I would like to turn the call over to Doug.
Douglas D. Tough: Thank you, Michael, and good morning, and good afternoon, everyone. From a local currency sales basis, we are pleased with our full year 2011 performance in light of the 13% growth we reported in the year-ago period. Our strong growth in Flavors and the emerging markets continue to provide us with the ability to grow on top of last year's strong performance as local currency sales improved 4% year-over-year for the company. In Fragrances, results were less strong particularly in the second half. However, it must be taken in the appropriate context, considering the very challenging 16% year-ago comparison, which included a record level of new wins as well as restocking benefits across all categories. While gross margin declined due to significant raw material cost inflation of 10%, our ability to raise prices approximately 2.5% for the full year and our cost control efforts allowed us to deliver 11% adjusted operating profit growth and a 70-basis-point improvement in operating profit margin. This strong operating profit performance led to an 11% increase in adjusted earnings per share to a company record of $3.74. Analyzing our performance over 2- and 3-year periods to include the heightened volatility of 2009 and 2010, you will note that we have either met or exceeded our long-term financial targets over a 1-, 2- or 3-year basis. We think this is a positive sign given the challenging environment we have been managing through over the past 12 months. Before turning it over to the IFF senior team to take you through the details of our Q4 performance, I'd like to discuss our progress against the strategic priorities we outlined at our 2011 Investor Day. Stemming from the in-depth analytical review of our business, we identified opportunities where we felt we could improve our financial performance, particularly our planned focuses on accelerating growth in attractive markets, mainly the emerging markets; aligning innovation to drive profitable growth; focusing on differentiation or offering our customers something that our competitors cannot; and improving returns by fixing underperforming businesses based on economic profit analysis. Starting with our Global footprint, we felt that we could leverage our geographic reach to capture the attractive growth rates in the emerging markets. In 2011, our local currency sales growth in the emerging markets was approximately 8%, significantly faster than the developed markets. Key emerging markets now represent 46% of our total company sales, which can be considered among best in class for our industry. Accordingly, earlier in 2011, we began construction of 2 manufacturing facilities in China and Singapore. As our growth in the Greater Asia region continues to accelerate, it was important that we align our infrastructure to support our projected capacity requirements. The Guangzhou site will be dedicated to Flavors while the facility in Singapore will be used for both Flavors and Fragrances. Located near existing IFF sites, both new facilities are ideally suited to ensure a smooth transition with experienced in-house talent. On the heels of the investment into our creative centers in Shanghai and Mumbai, we believe these facilities underscore our long-term belief in the region, the strength of our local teams and IFF's dedication to serving the present and future needs of our customers as they expand in this region. In November, we announced the opening of a new state-of-the-art Flavor and Fragrance facility in Dubai, United Arab Emirates. The new site houses creative and application labs as well as sales and marketing offices that support all categories for the unique and fast-growing Middle Eastern market. We believe that by having our creative and technical teams work very closely with regional customers in our ultramodern labs, it will significantly shorten the innovation process and increase speed to market, leading to incremental business. And more recently, we announced that a portion of our Functional Fragrance resources are being reallocated to Singapore and Mexico to more effectively serve the growing presence of our customers in those markets. Strengthening our innovation platform continues to be most critical for our future success. In 2011, we fully evaluated our entire research and development investments across all existing and new platforms. Our disciplined approach designed to improve our return on investment was predicated on the insight gained from our consumer research program. We then evaluated our ability to deliver innovation for each opportunity, taking into account the technical likelihood of success, including the research, development and regulatory phase. During this step, we also looked at the likelihood of the commercial success, which means even if we develop a solution that meets the consumers' needs, can the technology be commercialized at an attractive customer and consumer price? This was then followed by a full evaluation of the technology's degree of fit within our current strategy and the opportunity cost of not pursuing the project. Finally, we determined the resource requirements and prioritized the highest-return projects to maximize our investments. To track our success, we have developed important internal milestones to help ensure we are achieving our stated goals. At each milestone, we evaluate our success and failure rates to determine if any adjustments are needed in an attempt to achieve the greatest efficiency possible, thus increasing return on investment. To complement this new process, we recently formed a new scientific advisory board comprised of 5 scientific talents in the key research and development areas we identified in our strategic review. We believe this advisory board will provide us with external perspectives on IFF's R&D programs. They will raise scientific issues and opportunities, help us identify appropriate research partners, provide background in specific areas of expertise and assist in the identification and development of key R&D personnel. We anticipate that this will give us strong competitive advantage not only by tapping into the minds of the scientific advisory board members, but by leveraging their access to a global network of academics, high-level industry members and their associates. By maximizing our portfolio, we believe we can enhance overall profitability by improving our less-attractive portions of the portfolio to capture the previously announced $50 million operating profit opportunity within a 5-year horizon. In 2011, we began having fact-based conversations with our customers regarding appropriate pricing actions to improve our returns. We also had conversations regarding supply chain opportunities where, by optimizing our agreements, we could drive greater efficiency for both ourselves and our customers. Focusing internally, we evaluated resource allocation by category, by customer and by region across both of our businesses, thereby appropriately aligning resources behind our advantage portfolio and reducing the costs associated with negative economic profit businesses. This was most evident in our recent announcement where we realigned our Functional Fragrance responsibilities and reduced our workforce in Fragrances as well as other parts of the organization. We believe this initiative will strengthen our expertise and our ability to win in key categories and markets while simultaneously simplifying our decision-making process, improving our resource allocation and enhancing collaboration. It marks a significant step towards improving the underperforming areas of our portfolio that we have identified in our strategic review as we expect to realize pretax cost savings of approximately $9 million in 2012. In those areas where we were unable to improve our underperforming businesses through the aforementioned initiatives, we made the difficult decision to exit some businesses, totaling approximately $8 million of sales in 2011. And finally, more recently, we have instituted economic profit, or EP, as one of our long-term incentive compensation metrics. As part of our strategic review, we began including EP in the evaluation of relative performance across our business portfolio. We believe that evaluating EP helps us identify the resources and the drivers of value across various businesses and it is linked to the creation of shareholder value. While we are only in year one of our plan, we believe that we have made solid progress against our strategy. And while the significant raw material inflation in 2011 required us to shift our attention to more immediate needs, we never lost focus on our long-term strategy. For that, I would like to acknowledge the IFF's team's ability to adapt both strategically and operationally during very difficult times to deliver our solid results. Once Hernan, Nicolas and Kevin conclude their prepared remarks, I will give you some perspectives on the outlook for 2012, and then we will take any questions that you may have. With that, I would like to introduce our group President of Flavors, Hernan Vaisman.
Hernan Vaisman: Thank you, Doug, and good morning and good afternoon, everyone. I am happy to report that the strong trends we have seen over the course of 2011 have continued in the fourth quarter as we achieved 8% local currency sales growth, led by a double-digit increase in Beverage and high-single-digit increase in Savory. In North America, we continue to post solid growth on top of our most challenging year-over-year comparison. The majority of our success continues to come from health and wellness portfolio, as our sweet and sodium modulation technologies drove double-digit and high-single-digit growth in Beverage and Savory, respectively. Despite comparing to a 10% increase last year in EAME, our performance in Q4 accelerated versus Q3 as Eastern Europe, Africa and the Middle East grew double digits and Western Europe grew mid-single digits. In Latin America, growth of 1% was below our expectation as the softness we noticed in Mexico last quarter continued into Q4. Brazil, on the other hand, remained quite strong, growing high-single digits. Our best performing region in terms of both dollar growth and percentage change continues to be Greater Asia. Performance in this region has improved every quarter this year, growing over 10% in Q4 as every category reported a strong growth, highlighted by Beverage and Confectionery where we achieved double-digit growth. To some extent, it should be noted that the timing of the Chinese New Year did provide a benefit to our results, pulling some growth from Q1 2012 into Q4 2011. Consistent with the previous 3 quarters, the impact of exiting low-margin business in Q4 was approximately $1.5 million in local currency sales and a total of $6 million for the full year. As we have indicated before, in 2012 we expect the impact of exiting underperforming business to increase between 1 to 3 percentage points of Flavors total local currency sales growth for the full year, as we believe it is our best option to maximize shareholder's value. It should be noted that, while top line may be impacted, our gross margin should show a corresponding improvement. Looking at the geographic breakdown of our sales, the emerging markets continue to grow double digits for the ninth consecutive quarter. The BRIC countries continue to be the primary driver of growth, increasing mid teens and led by 20% flat growth in China. Turning to profits. Fourth quarter adjusted operating profit increased 18% or $10 million to $63 million. Adjusted operating profit margin increased 170 basis points versus the prior-year period to 19.6 percentage as volume growth, pricing action and cost control more than offset the impact of higher raw material cost. Before providing commentary in 2012, I would like to provide an overview of our full year performance. Local currency sales increased 9% in 2011 on top of the 10% we reported in the year ago, indicating continued strength in our Flavors business. The strongest growth was achieved in North America and EAME, both growing double digits as we continue to deleverage of our innovative health and wellness portfolio. The effect on profitability was profound as adjusted operating profit increased 17% or $42 million to $184 million. As a result of this strong top line performance, which included both volume and pricing growth as well as continued cost control disciplines, operating margin improved 90 basis points year-over-year to a company record of 21.1%. Looking ahead to Q1 2012, while we are comparing to our strongest growth rate on 2011, 12% growth, we are expecting a solid start to the year as new business wins remain strong. Profitability is expected to remain healthy as we continue to capture price increase to offset raw material cost and control our own costs. With that, I would like to introduce our group President of Fragrance, Nicolas Mirzayantz.
Nicolas Mirzayantz: Thank you, Hernan, and good morning and good afternoon, everyone. Local currency sales in the fourth quarter, while down 3%, improved sequentially versus the third quarter, with 5 out of our 7 categories delivering year-over-year growth. In Fine Fragrance & Beauty Care, local currency sales declined 6% against a 16% growth rate in Q4 2010 as new business wins and price increases were more than offset by volume declines. When evaluating Fine Fragrance independently, it is important to note that the pipeline's few links [ph] associated with last year's new win was abnormally high as Fine Fragrance grew greater than 20% in the year-ago period, particularly in Europe and Latin America, where we grew way in excess of 20%. Beauty Care, which include Toiletries and Hair Care, did post strong high-single-digit growth as the team was successful willing -- winning new business and capturing price increases. Functional Fragrance results were strong as all categories reported positive results. Highlight within Functional Fragrance include double-digit growth in Home Care and high-single-digit growth in Fabric Care, both led by the emerging markets and Europe. It should be noted that the strong growth, when combined with our recently announced realignment initiative, should drive improved returns as we continue to grow our business. It should also be noted that top line performance for our fragrance compound in Q4, which exclude Ingredients, was up 2%. And excluding both Ingredients and Fine Fragrance, the rest of our business was up 7% in Q4. Fragrance Ingredients continue to be the most challenged part of our portfolio in Q4 due to price-driven volume declines. Like in Q3, the adverse effect on volume was greater than historical correlations and therefore had a greater impact on our results. While sales decline, our Fragrance Ingredients margin remained stable as the loss of sales were associated with lower-margin businesses, thereby reducing the impact on profitability. Going forward, we expect market dynamics and our performance to improve as we progress through 2012. From a geographic perspective, emerging market growth did mitigate the weakness seen in the developed markets. In our EAME region, double-digit growth was achieved in Eastern and Central Europe and the Middle East. In Greater Asia, China was a standout, growing mid teens. While not surprising, given our strong year-ago comps and the current economic situation, it should be noted that Fine Fragrance and Ingredients in Western Europe decreased particularly in France, Germany and Spain, something that we will continue to monitor given the region's economic uncertainty. Despite a challenging second half, it is worth noting that 2011 was a record year in our fragrance compound business and is on top of 16% growth in 2010. From a profitability standpoint, as expected, adjusted operating profit declined by $9 million as double-digit increases in raw material cost and volume declines more than offset higher prices, the benefit associated with the European restructuring and cost control initiatives. As a result, adjusted operating profit margin decreased 230 basis points to 11.5% versus the year-ago period. It is important to note that the significant pressure that raw materials placed on gross margin was reduced by increased pricings actions in Q4, over 4%, and cost control initiatives, including lower incentive compensation expense. In addition, our previously announced restructuring in Europe provided approximately $4 million of saving in the quarter that further helped to reduce the impact of raw material price increases. As Doug mentioned, we recently announced that we are reorganizing our Functional Fragrance group to align with the Global category approach of our Fine & Beauty Care and Fragrance Ingredient businesses to simplify the business structure for greater efficiency. We believe these changes will have a positive effect by improving our speed to market, cross-category synergies and one consumer knowledge. Part of this realignment involves a reallocation of creative resources to support investment in innovation and growth opportunities, primarily to strengthen our leadership in the emerging markets of Latin America and Greater Asia, aligned with our customer strategies and investments. Our decision to proceed with this plan is a clear indication of our commitment to our strategy and continuous improvements. Looking ahead, we expect top line performance in the first quarter to remain under pressure as we continue to experience price-driven volume declines in Ingredients and softness in Fine Fragrance due to a strong year-ago comparison of 15% growth. Beyond that, we are encouraged by our continuing strong level of new wins and believe that our pipeline of new business resulting from greater access to core listings and large projects should position us well as we progress beyond the first quarter of 2012. In addition, we continue to have incremental pricing discussions with our customers to reduce the impact of higher raw material costs. With that, let me turn it over to Kevin.
Kevin C. Berryman: Thank you, Nicolas, and good morning and good afternoon, everyone. Reviewing our quarterly results, local currency sales growth improved sequentially versus Q3 to more than 2% in the fourth quarter as pricing approached 3.5%. While gross margin remained under pressure due to a 10% rise in raw material cost, improved leverage and sustained pricing benefits in Q4 helped reduce the impact on gross margin versus a year ago, as compared to Q3, with our Q4 gross margin down 220 basis points from the year-ago period, improved versus the 330-basis-point decline that we saw in Q3. We also continue to exhibit strong cost control, including benefits from lower incentive compensation provisions, and execute against our cost savings initiative to drive 8% adjusted operating profit growth, which led to a 70 basis points improvement in operating profit margin. With interest expense down $1 million and a $3 million benefit from other income, we were able to overcome the very low effective tax rate in Q4 2010 to drive 7% adjusted EPS growth versus the year-ago period. Turning to raw material costs. As expected, raw material costs continue to be a headwind in the fourth quarter. While both businesses faced significant cost pressure, it was most significant in Fragrance where strong increases in naturals, petrochemicals and feedstock ingredients drove double-digit increases in our input costs. Flavor input costs, which were up high-single digits, continue to be impacted by higher year-over-year cost increases in items such as citrus oils and mint and menthol. Looking ahead, based on current prices, we expect to continue to see modest low-single-digit raw material cost inflation in 2012. This is the case even though some raw materials have come down from their market peaks. At the end, our costs in 2012 are still expected to be above our 2011 levels and sharply above historical levels. This requires continued pricing discussions with our customers. From a 2012 calendarization standpoint, we expect raw material cost inflation to be greatest in Q1 of 2012, as we are comparing to our lowest cost period of 2011. Beyond the first quarter, our comparisons will become less difficult due to the double-digit raw material cost increases we experienced in Q2, Q3 and Q4 of 2011. From an overhead cost standpoint, adjusted RSA expenses as a percentage of sales decreased 290 basis points year-over-year to 23.8%, reflecting lower incentive compensation expense and continued cost discipline. Within RSA, it is important to note that we continue to make R&D investments to support our long-term strategic growth initiatives. Excluding incentive compensation expense from both periods, our comparable R&D spend increased year-over-year. Regarding foreign currency dynamics, foreign currency movements in the fourth quarter had a limited impact on both our top and bottom line performance. Looking ahead to the full year 2012, we have hedged approximately 2/3 of our euro-dollar exposure at rates which average approximately 1.40, effectively equal to the rate we saw in 2011. While the rationale for our hedging program is to protect our cash flow exposure, i.e., the transactional impact, the mechanics of our program produced similar benefits for our translational exposure. Net-net, our exposure to euro FX volatility in 2012 has been reduced by approximately 2/3 as the result of our hedging efforts. As such, if currency rates stay where they are today with the euro at $1.33, we expect foreign exchange impacts to be only a modest headwind to EPS for the full year of 2012. While first half 2011 cash flow had been impacted by a rise in payables, driven by a large reduction in payables associated with our 2010 annual incentive compensation payout and tax payments, both the results of IFF's strong 2010 financial performance, second half cash flow dramatically improved versus the year-ago period. Our cash flow from operations in Q4 specifically improved $72 million from Q3, even when including the $40 million payment associated with the patent litigation settlement. As a result and as expected, our operating cash flow dramatically improved over the second half of the year. From a use-of-cash standpoint, capital expenditures, as expected, finished the year near 5% of sales as we made incremental investments in manufacturing capacity in the emerging markets and technologies. We expect that our investments in 2012 to also approximate 5% of sales. In addition, over the course of 2011, we have paid off $124 million of our outstanding senior notes and, importantly, renewed our credit revolver, both of which we believe will optimize our financial flexibility, going forward. Finally, as part of our commitment to return cash to our shareholders, we announced in July an increase in the quarterly cash dividend, raising it 15% from $0.27 a quarter to $0.31 a quarter, which we believe underscores our strong financial condition and excellent cash flow position. With that, I'd like to turn the call back over to Doug for his perspective on 2012.
Douglas D. Tough: Thank you, Kevin, Hernan and Nicolas. Looking ahead, we expect local currency sales growth in 2012 to be in line with our long-term targets, albeit at the low end of our 4% to 6% range, as we plan to accelerate the exit from some of our underperforming businesses, more particularly in Flavors. As such, we believe that our team's ability to continue to win new business will be an important driver of our results, going forward. We do expect some input costs to rise low-single digits in 2012, which will require continued pricing conversations with our customers. It is our expectation, however, that we should reach a gross margin inflection point if raw materials remain at current levels as we approach the second half of 2012. From an RSA standpoint, we will continue to exhibit disciplined cost control. It should be noted, however, that as our incentive compensation program resets, it will be a headwind should we perform in line with our current targets. In addition, we also plan to make incremental investments in R&D to support future high-value, at-stake initiatives identified in our strategic review. These investments are vital to sustain our long-term growth. And finally, as Kevin mentioned, if currency rates stay where they are today, with the euro at $1.33, we expect foreign exchange will be a modest headwind for the full year as a result of the hedging program. Nonetheless, I remain confident in our ability to continue to navigate through these uncertain times as we strive to achieve the long-term targets in 2012. Looking towards the first quarter, we expect Flavors to deliver good growth, even as they exit low-margin businesses, and Fragrances to be challenged as we continue to see softness in Ingredients and pressures in Fine Fragrance due to the strong year-ago comparison. While we continue to expect greater pricing benefits, the gap between raw material costs and price increases is expected to remain as we are comparing to the lowest-cost period of 2011, although this will improve versus Q4 2011. As a result, profitability and earnings per share will be under pressure as cost control initiatives are not expected to fully offset our gross margin pressures. To wrap up. At the beginning of 2011, we expressed optimism that we would continue to perform well despite macroeconomic challenges and unprecedented raw material cost increases. Our ability to achieve our long-term financial targets for the second consecutive year demonstrates the team's aptitude for successfully executing the strategy and navigating through a challenging operating environment. We continue to leverage our geographic reach to capture the growth potential of the emerging markets, strengthen our innovation platform to deliver differentiating products to customers and maximize our portfolio to improve the underperforming areas of our business. I'm proud of all of our employees, each of whom played a role in achieving our results, and I remain confident in our ability to continue to remain agile and work with our customers and our internal resources to achieve our long-term targets in 2012. Longer term, our strategic review has provided insight to management as to the opportunities to further enhance our performance, going forward. Our plan embeds these insights to address the opportunities identified, all of which, we believe, will maximize shareholder value. And with that, we will be happy to take any questions that you may have. Thank you.
Operator: [Operator Instructions] And your first question comes from Mark Astrachan from Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: I guess, just to start on the Fragrance business. So a little bit better but still negative versus some easier comps. I heard what you said, Nicolas. I guess, maybe just a bit more color there, in particular on some of the places of underperformance and how you go about improving that. And I guess, in particular if you put it in the context of some of the recently announced initiatives, why focus on the Functional piece which seems to be performing better than the other 2 categories?
Nicolas Mirzayantz: Mark, regarding 2011 performance, it is important to take into context of the very strong growth we reported in 2010. I mean, it was 16% growth, which was greater than any year in the business, it really was a record year, and also significantly higher growth rate than the industry. If you look at it, it was seventh consecutive quarter of growth and obviously some pressure in the second half. Unfortunately, the difficult comparison as well as price-driven volume declines in Ingredients did put some pressure in the results and especially also in fine, where we had the strongest comp in 2010. So I think that, overall, if you put this thing into perspective and if you look at a 2-year average, I think it's indeed a very, very strong average for the business, being at 8% growth, so in excess of the market. I think what is important as well is our ability to secure new business and also to have access to additional growth potential by entering new colleagues or strengthening our position into some new colleagues. So yes, challenged in the second half, but we believe that most of the key driver was a strong comp. And if you remember also, in Q1 of this year, we were still having some strong growth in the business units and very strong growth in Q4, so therefore, we believe that we have an abnormally high level of pipeline, which affected some of the volume dynamic in the second half.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: So just to clarify then, one, just could you comment on why the Functional business in terms of the restructuring? And two, do you consider yourselves share gainers, share losers in the Fragrance category?
Nicolas Mirzayantz: So to your first question regarding Functional Fragrances. First, we wanted to realign the business with the priority of our business -- of our customers and to continue to find innovation. At the same token, we also wanted to build upon the learnings from the strategic review that we did and building upon the economic profit learnings as well. We wanted to make sure that we were improving the performance, the margin performance across our portfolio. So that was really the first question. Remind me of the second. Can you remind of the second one, Mark? I'm sorry.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: The second is, do you consider your Fragrance business a net share gainer or share looser, or not all?
Nicolas Mirzayantz: We are a, we have maintained our share. We have maintained the level of share, the significant increase in share that we have gained last year and we believe that we have maintained it.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: And just one clarification, Doug. First quarter EPS being under pressure, does that mean down year-on-year? Does that mean below long-term targets? Just a bit of help there would be appreciated.
Douglas D. Tough: I think it'll be, in the first quarter, south of the year ago.
Operator: Your next question comes from the line of Lauren Lieberman with Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: I just wanted to follow up on the Ingredients business because, if I look at the, what you reported by region, it actually looks like most regions got quite a bit better sequentially, with the exception of Europe. And so I, maybe I'm going a step too far, but do you think that the Europe softness had more to do with macro demand and then maybe you are certain to see some stabilization elsewhere? And knowing that a lot of contacts seem to, my understanding, is reset Jan 1, how is that looking in terms of stabilizing and starting to win some business back?
Kevin C. Berryman: Lauren, it's Kevin. Look, I think that, certainly, we are watching carefully the dynamic in Europe, with all of the economic uncertainty relative to the discussions on, in the news that we hear everyday, and I think that we're monitoring that closely. The Ingredients business, in general, is more oriented around both Europe and North America because of where the business ultimately is utilized by our customers. And so that is one area that we are specifically monitoring closely at this particular point in time, so no more news other than that and we'll continue to adjust as appropriate to the extent that there is any other insights that we gain as it relates to that dynamic.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. But the other regions, even North America, did get better or at least didn't get materially worse sequentially? I just -- and maybe you are trying to tell me, sorry, that Latin America and Asia just aren't that big and so seeing it go from down mid teens to down low-single digits. I shouldn't be reading anything into that being a sign of stabilization?
Kevin C. Berryman: No, look, I think it's the material part of the businesses in the developed markets, both North America and Latin, so that -- excuse me, North America and Europe. And so effectively, that's going to be the driver to the numbers that we see for the business...
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. And then any news on contract resets and kind of 6-month window for these contracts? And any renegotiating that you've done? Or are business coming back to you because alternative sources of supply weren't sufficient?
Nicolas Mirzayantz: Lauren, it's Nicolas. Today's market dynamic still remain centered around pricing and pricing being a key driver for customer decision-making versus security of supply at this stage, so our price negotiation for the first half of 2012 were heavily centered around the lowest price. So going forward, when incorporating all the new trends and market dynamics to readjust our portfolio, but as we progress through the year, we have to watch the market dynamics and understand the implication for our portfolio. So as we have done in the previous quarter, we're constantly evaluating the different options. And this is also one of the reasons why, in 2010, we took the decision to the partial closure of our facility in Europe. So we're constantly adapting all resource and our assets to the market dynamics.
Operator: Your next question comes from the line of Ed Aaron with RBC Capital Markets.
Asher Cronk - RBC Capital Markets, LLC, Research Division: Guys, this is Asher Cronk sitting in for Ed. This one's for Kevin. Kevin, how much did incentive comp benefit operating expenses in the quarter on a year-over-year basis? And how much of a headwind should we expect next year as you accrue to a more normalized level?
Kevin C. Berryman: Look, I think, as you know, our compensation plans are really aligned with the creation of shareholder value. And while we certainly met our long-term targets for the year, we fell short of what the expectations that we have set for ourselves. And as a result of that, that has an implication relative to the incentive compensation levels for 2011. I think, importantly, we should take and understand our compensation expenses, the key business operating expense associated with performance. So there is a certain amount of variability associated with that item. As we perform, that number will go up. As we don't, it will go down. In terms of the quarter, it was a material benefit for our performance, although I continue to rather talk to the number versus what I would consider to be a normalized level. And I think, in 2011 fourth quarter, that number is plus or minus: I'll give you a general number, it's around $15 million in the quarter versus a normalized level of compensation expense, so there was a benefit to that extent. To your question on 2012, we have provided some insight, and Doug has commented, as it relates to our desire to strive for the long-term financial targets. And certainly, that number that is in there relative to incentive compensation expenses embedded into that kind of direction that we're providing for the 2012 figures. So it's embedded into that figure.
Asher Cronk - RBC Capital Markets, LLC, Research Division: Okay. And then just as a follow-on, what are your relative inflation expectations sort of in the Flavors versus Fragrances next year?
Kevin C. Berryman: Well, we haven't really talked a lot about that, but we think that the numbers are certainly significantly less than what we saw in 2010 but remain above historical levels...
Asher Cronk - RBC Capital Markets, LLC, Research Division: Okay. And then presumably, we would expect Fragrances to be higher than the low-single digit, and Flavors, lower?
Douglas D. Tough: Help me understand the question a little bit.
Asher Cronk - RBC Capital Markets, LLC, Research Division: Just the relative inflation expectations by, in Flavors versus Fragrances on a consolidated basis, expecting low single digit. How do we expect Flavors versus Fragrances to look?
Kevin C. Berryman: Look, I think that there's probably a little slighter, higher number in Fragrance than Flavors at this point in time.
Operator: Your next question comes from the line of Jeff Zekauskas from JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: In terms of your expansions in Singapore, are there tax implications to that expansion?
Kevin C. Berryman: Jeff, it's Kevin. Yes, yes, there is opportunities that we have worked through with the local officials and local regulatory bodies that provide us some tax benefits.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay, and when would they begin?
Kevin C. Berryman: They would begin as we start to operate the facility. That's the expectation.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: And forgive me, when's that?
Kevin C. Berryman: We're expecting that we'll get to the point where it's going to be over the course of this year, probably [indiscernible] 2013.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And then secondly, in terms of your raw materials, I would imagine they were pretty high in the third quarter and they came down in the fourth quarter and they're going up in the first quarter. But are first quarter raw materials, on average, higher or lower than third quarter of '11 raw materials?
Kevin C. Berryman: Look, the percentage increases are up versus the same period a year ago, right?
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: I know that, yes, but I'm wondering the third quarter of '11 versus the first quarter of '12.
Kevin C. Berryman: I would say it's probably at a level that is, because third quarter was the high mark in terms of our percentage increase, so I think that there's probably, it's probably pretty [indiscernible]. I'll have to get it and confirm that with you, Jeff.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: I'm sorry, what did you say? It's probably...
Kevin C. Berryman: It's probably close, but I'll have to get back to you to confirm that.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And then lastly, in local currency terms, you, Flavors grew about 9% this year and Fragrances was negative 1. So when you think, if you had to guess as to what the global market growth rates were in Flavors and in Fragrances, what do you think they were in 2011?
Douglas D. Tough: Go ahead, go ahead.
Hernan Vaisman: This is Hernan speaking. It's very difficult really to have a precise figures, but our estimation for Flavors is that it's around 4%, 5% for 2011.
Nicolas Mirzayantz: And it's also too early to say in Fragrances. We will need to monitor some of the result that will be published in the next few weeks, but we believe it's in, like, maybe 1%.
Operator: Your next question comes from the line of Mike Sison with KeyBanc Capital Markets.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: In terms of your outlook for 2012, you noted that you have roughly $9 million in pretax savings coming from product rationalization. Do you have any additional sort of restructuring savings that kick in next year?
Kevin C. Berryman: Mike, the $9 million is relative. I'm assuming you're talking to the Fragrance realignment initiative that we announced earlier in January, right? That is associated with the commentary that Nicolas had where we had a, the restructuring, the realignment work where we took the charges, $10 million, and we expect savings of about $9 million.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay, and so I might have mixed that up, I apologize. So other savings coming from product rationalization efforts in '12?
Douglas D. Tough: No -- I'm not sure what you mean by product rationalization, Mike. The rationalization...
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: In terms of the $50 million, the, to improve the portfolio, but maybe, are there increasing pricing walking away from products?
Douglas D. Tough: Well, certainly, the walking away is envisioned as part of our numbers for next year, but other product rationalizations really aren't factored into our 2012 plans.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay. So the $9 million gives you 2% operating income growth in order to hit the 7% to 9% growth that you are looking for on a long-term basis. Does the rest just come from volume growth?
Kevin C. Berryman: Well, look, I -- Mike, there's a variety of things. Clearly, we're expecting to see some growth. We're continuing to see some pricing. That will be offset, certainly, as it relates to some incremental input costs. And of course, we are also talking about the incremental investments in R&D to support the long-term growth initiatives. So there's a series of things that will translate into our ability to deliver, again, the long-term financial targets, objectives that Doug has alluded to.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Right. Do you need -- do you hit the 4% to 6% sales growth goal to get there this year? It sounds like you have a lot of other things to help you out in terms of meeting those goals besides sales.
Douglas D. Tough: Let me just talk to that. I think, Mike, I think you're right. And there are 2 things that are on ongoing basis, one of which is just ongoing efficiencies, reformulations, elements like that which are part of the portfolio. And they're just, they're ongoing, a significant part of the puzzle. And the other is just the opportunities associated with new briefs and new technologies where we would look for margin expansion as a function of bringing superior benefits. And Hernan and Nicolas have talked about the new wins in the pipeline. All of those, we would look for, would bring superior products and margin.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay, yes. So 2012, really, the focus should be on your internal execution, which should allow you to meet the earnings growth goals, and maybe, the sales growth goals take a backseat as you walk away with some products and maybe still have some issues in ingredients near term.
Kevin C. Berryman: Mike, I don't know that I'd characterize that. We're not planning on the growth. The numbers that we've talked about being at the low end of the range incorporate the other business that could potentially be eliminated relative to the discussion, specifically in Flavors, with certain customers. So we're still expecting some growth and get [ph] the profit algorithm, certainly.
Operator: Your next question comes from the line of Erik Sjogren with Morgan Stanley.
Erik Sjogren - Morgan Stanley, Research Division: It's Erik Sjogren from Morgan Stanley. Could you comment a little bit about the brief pipeline as you see it right now in terms of innovation levels, [indiscernible] companies and so on? Are we seeing any kind of trend changes here?
Hernan Vaisman: Erik, it's Hernan. We haven't seen, I mean, big changes in the pipeline. I still -- I mean, the companies are looking for innovations and it's the same things that we have discussed in the past. And they're looking basically for, I mean, a balance of their way -- well-being to the health and wellness and naturals. So basically, it's what we've seen. I mean, having to say that doesn't mean that we'll be changing beyond certain things as they're becoming more evident in the market. So to really, I mean, answer your question, no, we still have, I mean, are receiving this kind of project that they are basically innovation driven.
Nicolas Mirzayantz: And it's Nicolas. A very similar trend for Fragrances, and still, the focus on innovation, focus on the emerging markets. And also, one discipline for us is adding, gain additional access to colleagues' potentials, so which increase our pipeline of new projects.
Operator: Your next question comes from Edward Yang with Oppenheimer.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Maybe a question for Nicolas. But on the Fragrance side, in Ingredients and fine, what's your sense of inventory levels out there? I mean, beyond the tough comps, I would assume that you saw some significant customer destocking. Is that, has that all played out? And related to that, how important is Valentine's Day to the Fine Fragrance business? I know, historically, Christmas and Mother's Day are big events, but how significant is Valentine's Day? Do you see a typical inventory build leading up to that? And depending on how sales goes, what are some of the repercussions in terms of 2012, positively or negatively?
Nicolas Mirzayantz: So in terms of inventory, it is difficult for us to have visibility at this stage, and we'll expect probably a correction. And as we saw the 2010 and '11, we saw a buildup of inventory, our customers. I wanted to make sure in Fine Fragrances that we're not missing any growth opportunities. I think that the mood right now is that people have been positively encouraged by good Christmas results. But at the same token, the brands are staying very cautious about the developments, especially for Europe, but still maintaining a good pipeline of new introductions. So it will take us a little bit more time. I think, like, in Q2 we will have a better understanding of the pipeline and the stock inventory at our customers. Regarding Valentine's, it is a growing period for Fragrances but nowhere near Mother's Day and Christmas at this stage. So I think that people will try to build on the momentum that was created around Christmas, but probably, too early to say.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay, understood. And just a modeling question for Kevin. The, so I think this question was asked before, but, related to the incentive comp, but what's -- is there kind of a ballpark normal run rate on global expenses that we can assume? This quarter was a little light, but is it kind of running at $12 million to $15 million a quarter, is that a good number to plug in?
Kevin C. Berryman: Well, it's not that, it's, no, not a particularly bad one. But as you know that we register and recognize the competition expense again relative to our performance, so to the extent we overperform, the number will be higher. And to the extent that we underperform versus our expectations, it will be lower. So I caution you not to be so prescriptive as it relates to what that number is because it is going to be pay-for-performance, so to speak.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Sure. And your CapEx spending has increased over the last 2 or 3 years or so. In 2009, you spent $69 million -- $67 million. In 2011, you spent, let's see here, close to $125 million. The D&A hasn't really moved around too much -- $28 million, apologize for that. The D&A has actually come down somewhat. What's really driving that? And is that just a time lag issue? And we would like to understand that better.
Kevin C. Berryman: Look, as we are embarking upon sort of large expenditures, certainly, the depreciation would not occur for those items until which time you're operational. So certainly, the spend that we've talked about and the significant spend in terms of capacity needs and emerging market focus to ensure we have the ability to continue to drive the growth in those attractive markets. Certainly, we'll, at some point in time, as we start to depreciate those assets when they become operational.
Operator: And you have a follow-up question from the line of Mark Astrachan with Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: So 2 questions. One, Kevin, could you just give us an update on the use of capital structure in terms of potentially looking at increasing flexibility for share repurchase or things like that? And then second, on the guidance again for 2012 or the outlook versus long-term expectations, however you want to look at it, could you give a bit more color? Like, by my math, it would seem that the gross profit line is going to be pressured and that what allows you to get to the 7% to 9% operating profit longer term is more on the SG&A side. And sort of like related to that, are we using 2010 SG&A expenses as the base given what happened in the incentive comp in 2011?
Kevin C. Berryman: Mark, I think that, if -- the first question, again, Mark, was...
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Capital structure, share repurchase, what increased the flexibility to do something like that?
Kevin C. Berryman: We've been fairly consistent in terms of what we have talked about relative to our use of cash, Mark. And effectively, the, our overarching desire is to be able to maintain a level of financial flexibility. And certainly, we are focused and we'll continue to be focused on the needs that are going to be necessary to support our growth initiatives and that includes CapEx, obviously, in terms of supporting the business. We are also certainly being more proactive in our evaluation and monitoring of corporate development initiatives, including M&A activity. And I think that, at the end, we will continue to ensure that we have a tax-efficient use of our cash, including those opportunities where they might involve a return of cash to shareholders. So at the end of the day, we're focused primarily on our internal growth initiatives, as well, continuing to be proactive in terms of the monitoring of other potential growth opportunities. As it relates to the 2012 item, look, I think that Doug has highlighted the fact that there is certainly some uncertainty as it relates to 2012 environment, which we will be operating, that we feel as if we're targeting our desire to reach the objectives, but there certainly is some uncertainty as it relates to the environment in which we will be operating. I think all the elements are important, as it relates to the financial algorithm necessary to deliver against the objectives. Certainly, top line growth is going to be important, some pricing is going to be important, the management of or the delivery and the savings associated with the recently announced initiative. All of these items are going to be important for us to be able to deliver against the targets that we've -- are going to be striving for in 2012. I wouldn't necessarily characterize it as one or the other.
Douglas D. Tough: Let me just build a little bit, Mark, because, way back early on, you had something which suggested that it wasn't going to be sales, the results might not be sales achieved, they would be achieved through RSA management. And we have talked about and, I think, are relatively, are disciplined in the context of that. But the investments that we have in the strategic projects defined in the past are underway and we call them high-value at-stake inside the company. They are being progressed. The focus on R&D and an increased investment in 2012 in R&D is already earmarked. So the growth in the top line will contribute to the results. We did indicate in the early parts of the year we're going to be under some margin pressure as a function of the costs that we've had, raw material costs, cost in inventory until such time as pricing and efficiencies and other measures capture the margin we need. But it's really, as Kevin said, all parts of the algorithm that are going to get us there but it's really not going to be at the expense of investing in those items that we've deemed critical for the long term, i.e., R&D and some of the innovation and expansion into emerging markets and so on. They're all part of the mix this year.
Operator: There are no further questions at this time. Do you have any closing remarks?
Douglas D. Tough: My appreciation for the all the attendees on the call, the comments. And we look forward to talking to you in a few months. Thank you.
Operator: Thank you for joining today's conference. You may now disconnect.